Operator: Greetings, welcome to Skechers Third Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to, Skechers. Thank you. You may begin.
Patricia Nir: Thank you, everyone, for joining us on Skechers conference call today. I will now read the safe harbor statement. Certain statements contained herein, including, without limitation, statements addressing the beliefs, plans, objectives, estimates or expectations of the company or future results or events may constitute forward-looking statements that involve risks and uncertainties. Specifically, the COVID-19 pandemic has had and is currently having a significant impact on the company’s business, financial conditions, cash flow and results of operations. Such forward-looking statements with respect to the COVID-19 pandemic include, without limitation, the company’s plans in response to this pandemic. At this time, there is significant uncertainty about the duration and extent of the impact of the COVID-19 pandemic. The dynamic nature of these circumstances means that what is said on this call could change at any time. And as a result, actual results could differ materially from those contemplated by such forward-looking statements. Additional forward-looking statements involve known and unknown risks, including, but not limited to, global, national and local economic business and market conditions, including impact of inflation, Russia’s war with Ukraine and supply chain delays and disruptions in general and specifically as they apply to the retail industry and the company. There can be no assurance that the actual future results, performance or achievements expressed or implied by any of our forward-looking statements will occur. Users of forward-looking statements are encouraged to review the company’s filings with the U.S. Securities and Exchange Commission, including the most recent annual report on Form 10-K, quarterly reports on Form 10-Q, current reports on Form 8-K and all other reports filed with the SEC as required by federal securities laws for a description of all other significant risk factors that may affect the company’s business, financial conditions, cash flows and results of operations. With that, I would like to turn the call over to Skechers’ Chief Operating Officer, David Weinberg; and Chief Financial Officer, John Vandemore. David?
David Weinberg: Thank you for joining us today on our third quarter 2022 conference call. Before we discuss our business in detail, I would like to thank Footwear News for naming Skechers as Company of the Year, for the third time in our 30 year history. This honor wouldn’t have been possible without the collective energy, dedication and creativity of the entire Skechers organization, both here in Southern California, as well as in every Skechers showroom, office, logistics center and retail store around the world. The Skechers team worked extremely hard this year alongside our loyal partners globally, be it our accounts, distributors, factories and vendors. From the bottom of our hearts thank you for your enthusiasm and collaboration as we work through the challenges of the last couple of years. We are optimistic that the COVID related restrictions are easing with only a few markets around the world still facing temporary closures and restrictions, and that freight costs are beginning to decline. However, macroeconomic headwinds, including foreign currency exchange rates, and congestion within our distribution centers due to the strong demand for our products and supply chain disruptions over the past year, impacted our reported results in the third quarter, and we expect will remain a factor into the new year. While we focused on working through these challenges, we remained a go-to source for consumers and our partners around the world, resulting in a new quarterly sales record of 1.8 8 billion for the third quarter. We are proud of this achievement, which was driven by double digit increases in EMEA and the Americas, and high single digit growth in APAC, bringing our international business to 60% of our total sales. As we see improvements from supply chain, logistic costs, distribution center congestion, particularly in North America, foreign currency exchange rates and closures in China, we believe we will achieve continued revenue growth. Our ongoing success of record annual sales in 2021 And this year’s three consecutive quarterly sales records is rooted in our talented team. Our core design principles, comfort, innovation, style and quality at a reasonable price by which every pair is measured, our focus marketing efforts, our deep distribution network and our determination to deliver our product as quickly as possible to our consumers. Years ago, we recognize the need for comfortable footwear and as the third largest athletic footwear company in the world, we are widely known for our comfort technology products. As consumers have truly come to view casual as the new normal, we are in a unique position with our extensive offering. Always looking for new ways to meet our customers’ needs we extended our Skechers arch fit technology into a wider offering of styles introduced Skechers hands free slip ins, the ultimate and ready to go footwear for men, women and children and expanded our fashion collection within our Skechers street offering and collaborations. Innovation is the core of our performance division and it’s never looked stronger, including the gripping outsole and comfort upper of our Viper, Pickleball collection and the awards given to the Max Road five by both Men’s Health and Self magazines. Also, this month, the Razor 4, an update to the technical running shoe that Meb wore in his Boston Marathon when was released with hyper bursts Pro, the latest evolution of our signature ultra lightweight, resilient cushioning foam. We are always focused on meeting the demands of our wholesale partners globally, and our consumers who shop at our approximately 4450 Skechers retail stores worldwide and through our expanding e-commerce footprint, all to ensure Skechers that comfort technology company is the leading choice and is available when and where consumers want. Total sales growth of 21% or 27% on a constant currency basis was the result of increases in our international and domestic businesses of 25% and 15% respectively. By region EMEA saw improvements of 48% and the Americas grew 16%. We are also particularly pleased with our APAC’s sales growth of 9% or 17% on a constant currency basis, which includes China decreasing by 19% or a-not-so strong double digit 13% in constant currency. Despite China’s zero COVID policy, we remain confident in the long term success for Skechers in this country. In the quarter our wholesale business increased 26% due to double digit growth both in domestic and international. The international growth was led by a 59% increase in EMEA, and 18% increase in the Americas and an 8% increase in APAC. Overall, wholesale sales were driven by increases in unit volume of 25%, and an average selling price per unit of 1%. The Americas wholesale sales growth was due primarily to a 15% increase within our U.S. wholesale business, where we saw improvements across genders and multiple categories, most notably our sport, casual and work lines, as well as the unit price. Canada and Mexico our two largest American markets outside the United States also achieve double digit growth. And every Latin American countries also saw sales improvements except Chile, which is experiencing significant economic volatility. Growth in EMEA wholesale was primarily driven by double digit improvements across all European countries, as well as growth within our distributors, primarily driven by the Middle East, Turkey and Scandinavia partially offset by the continued cessation of shipments to Russia. APAC wholesale sales increased primarily due to strength within our distributors, as well as India and Singapore, and the addition of the Philippines which transitioned from a distributor in 2021. The increases were partially offset by decreases in China and Japan due to COVID related lockdown measures. Turning to our direct to consumer business, which is a key focus area for the company, as we look to create more opportunities to showcase a broad range of Skechers products, and connects directly with consumers. Sales increased 12% in the quarter due to growth of 14% in the Americas, 10% in APAC, and 6% in EMEA. Domestic direct to consumer sales increased 10%, primarily due to strong double digit growth in our digital commerce channels. International direct to consumer sales grew in nearly every country, partially offset by declines in China, which was impacted by the temporary closures of just over 10% of our company owned stores, and Chile due to economic volatility. In total, direct to consumer unit volume increased 11%, an average selling price was essentially flat. In the third quarter, we opened 76 company owned Skechers stores including 46 in China, 8 Big Box stores in the United States a flagship store in Madrid, a flagship store in Madrid, and our first store in Rotterdam. We also expanded and relocated two stores at Lima malls, Jockey Plaza, and Plaza Norte. We closed 34 locations in the quarter, including 21 in China, and two concept stores in the United States. We ended the quarter with 4458 Skechers stores worldwide, of which 3054 with third party stores, including 177 that opened in the third quarter 129 of which were in China, 12 in India and five in South Korea. In the fourth quarter to-date, we’ve opened 14 company owned stores, including one big box store in the United States and five stores in China. For the remainder of the year, we plan to open an additional 35 to 45 company owned locations. In the third quarter, we launched new e commerce sites in Poland and Switzerland. And this month we launched our site in Japan. We also plan to launch several more e-commerce sites in the coming year. We are pleased with our record sales achievement in the third quarter driven by the continued strong demand for our comfort technology products. With double digit growth across our wholesale and direct to consumer businesses sales increased in nearly every market except those that faced either COVID related lockdown measures or significant economic volatility. This is a testament to our product and marketing resonating globally, as well as our determination to both deliver our footwear to consumers as quickly as possible and the efforts we’ve made to improve our infrastructure including our network of distribution centers, some of which are being impacted by the supply chain challenges. The expansion of our LEED certified Gold 2.6 million square foot North American distribution center is in the final process of integration with our existing system. This is expected to improve processing volumes and efficiencies over the course of 2023. With international representing 60% of our total sales we remain focused on our infrastructure abroad. We plan to begin shipments out of two new distribution centers in the first half of 2023. This includes a new 427,000 square foot distribution center in Vancouver which will result in improved shipping times in Canada, as well as some reduced pressure on our Rancho de Lago facility. As we celebrate our 10th year of business in India, we began the first phase of our 1.1 million square foot IGBC Platinum pre-certified distribution center outside Mumbai, which is planned to be operational by mid 2023. This quarter, we also began phase two of our China distribution center, which is expected to be completed in 2024. Last month, we held our first in person global product conference since COVID, at the newly finished initial phase of our corporate headquarters in Southern California, and this month, our key retail partners joined us for 2023 by meetings. The expanded building on Pacific Coast Highway is now home to our many showrooms serving to highlight our extensive comfort technology footwear. To support and drive awareness to our diverse product offering we have an equally diverse team of ambassadors appearing in our marketing campaigns from pop superstar Ava Max to lifestyle guru Martha Stewart, retired athletes Sugar Ray Leonard and Tony Romo, two elite major championship golfers Brooke Henderson and Matt Fitzpatrick, and local celebrities who launched in the third quarter including Myleene Klass in the UK, and Vanessa Mei and Michael Ballack in Germany. Skechers marketing campaigns appeared on billboards in Panama and Chile, buses in Greece, across buildings on high streets in Spain and Portugal, elevator kiosks in China and malls in Canada, Hungary and Columbia, as well as Skechers shoes on the seat of influencers and key opinion leaders, on a catwalk in Berlin and on covers, and within the pages of fashion magazines worldwide, where consumers shop be it on their phones or in malls or where they visit be it in stadiums or tourist centers, or where they commute, buses, trams and subways Skechers is everywhere driving demands. There’s no doubt that macroeconomic issues remain. But we believe our unique position as a brand that delivers on comfort, style, innovation and quality at a reasonable price will continue to resonate with consumers in the U.S. and around the world. And now, I would like to turn the call over to John for more details on our financial results. 
John Vandemore: Thank you, David and good afternoon everyone. Skechers again achieved a new quarterly sales record of 1.88 billion growing 21% on an as reported basis, and 27% on a constant currency basis. We saw double digit growth in both our wholesale and direct to consumer segments. In fact, we saw double digit growth in nearly every country, demonstrating the broad based consumer demand for our comfort technology products and the strength of the Skechers brand around the world. We remain focused on executing our long term growth strategy and delivering a diverse assortment of innovative, comfortable products for consumers across the globe even as we navigate historic headwinds from supply chain disruptions, ongoing COVID related restrictions, inflationary pressures and growing uncertainty around the macroeconomic environment and its impact on consumers. I want to first provide an update on COVID related supply chain dynamics and their impact on our results in the quarter. One year ago, we began experiencing container shortages, factory closures and severe port congestion. Those conditions led to elongated order timelines, and tremendous concern about product availability, which prompted more substantial backlog volume. Then about mid year, we experienced significant improvement in transit times and poor throughput. This resulted in capacity challenges in distribution networks across the industry due to a meaningfully increased arrival rate for goods. Consequently, we experienced and continue to experience processing constraints at our distribution centers, leading to cost inefficiencies as we work to mitigate the impact of these disruptions on our customers. In the third quarter, this gave rise to approximately 50 million of incremental logistics costs globally, which weighed heavily on our results. In addition, more significant than expected COVID related challenges in the Asia-Pacific region, particularly in China, and adverse foreign currency fluctuations, further weight unexpected results, which were below our earnings guidance. While we are disappointed with the lack of earnings flow through from our better than expected sales in the quarter, we are confident that supporting our customers was the right decision for our brands. Further, we believe the corrective actions we have taken and are taking to accelerate additional capacity and adjust future orders will ultimately resolve the situation and restore efficiency. Now let’s review our third quarter financial results. Wholesale sales increased 26% year-over-year to 1.19 billion led by 33% growth internationally, and 15% growth domestically. Broad strength extended across regions with notable growth in EMEA and the Americas as well as in APAC excluding China. Collectively, we saw a double digit increase in units sold and higher average selling prices for units, reflecting strong demand for our distinctive product portfolio at compelling price points. Direct to consumer sales increased 12% year-over-year to 686.8 million with 15% growth domestically and 9% growth internationally driven by double digit increases in units sold and strength in both our retail stores and digital platforms. As one of our key long term growth strategies, the investments we are making in our direct to consumer segment are yielding strong results as we continue to expand our international online presence and enhance our omni-channel capabilities. This further enables us to build direct relationships with our loyal consumers, showcase the breadth and depth of our product portfolio, attract new consumers and above all else, deliver great products. We are excited about the growth opportunities ahead and meeting the needs of our consumers whenever and however they choose. Now turning to our regional sales. In the America, sales for the third quarter increased 16% year-over-year to 948 million supported by growth across all channels. As we work to alleviate the congestion in our domestic distribution networks we expect sustained consumer demand for our products and brand resonance will continue to drive growth across the region in the fourth quarter. In EMEA sales increased 48% year-over-year to 469.8 million primarily driven by strength in our wholesale segments, which benefited from improvements in product availability compared to last year’s European port congestion. In APAC sales increased 9% year-over-year to 460.6 million driven by strength and distributor markets, as well as India, Singapore and Malaysia partially offset by a decline in China. Excluding China, sales grew 60%. In China sales declined 19% and over 10% of our stores were temporarily closed at one point. We expect ongoing COVID related lockdowns and restrictions to continue to impact our operations into 2023. This however, does not diminish our view of the Chinese market long term where the Skechers brand is uniquely positioned with our distinctive products and attractive value proposition. Third quarter gross margins decreased 280 basis points year-over-year 47.1% predominantly due to elevated freight costs as well as an unfavorable mix impact from higher distributor sales partially offset by improved pricing. Operating expenses increased 123.3 million or 20% but decreased approximately 30 basis points as a percentage of sales year-over-year. Selling expenses increased 23 million or 18%, but improved 20 basis points as a percentage of sales. The dollar increase was primarily due to higher demand creation expenses in digital and brand marketing globally. General and Administrative expenses increased 100.2 million or 20% but decreased 20 basis points as a percentage of sales year-over-year. We incurred approximately 50 million of incremental logistics costs globally to minimize disruptions in delivering product to our customers and also saw increased volume driven distribution expenses. Earnings from operations decreased 11% compared to 2021 and our operating margin for the quarter was 6.9% as compared with 9.4% in the prior year. Earnings per share were $0.55 per diluted share on 156.2 million diluted shares outstanding, a 17% decrease year-over-year. This includes a negative $0.09 impact from foreign currency fluctuations year-over-year. Our effective tax rate for the third quarter was 17.9% compared to 15.6% in the prior year. And now turning to our balance sheet. We ended the quarter with 681.5 million in cash, cash equivalents and investments. This is a decrease of 500.2 million or 42% from September 30 2021 as we continue to invest in working capital to drive sales, and ensure we have product available in the right place, and at the right time to meet consumer demand. Inventory was 1.78 billion, an increase of 45% or 549 million compared to the prior year periods reflecting the supply chain conditions I previously mentioned. We are optimistic that inventories will gradually return to normalize levels as supply chain volatility diminishes. Accounts receivable at quarter end worth 933.9 million, an increase of 175.2 million from September 30 2021, resulting from higher wholesale sales. Capital expenditures for the quarter were 100.1 million, of which 42.1 million related to the expansion of our distribution infrastructure globally. 30.8 million related to investments in our retail stores and direct to consumer technologies, and 17.7 million related primarily to our new product design center. During the third quarter, we also repurchase 639,000 shares of our Class A common stock at a cost of 25 million. We will continue to deploy our capital consistent with our philosophies for maintaining a strong balance sheet and making investments in our business, while opportunistically providing direct returns to shareholders in the form of share repurchases. Now turning to guidance. For the fourth quarter, we expect sales in the range of 1.725 billion to 1.775 billion and net earnings per diluted share in the range of $0.30 to $0.40. We anticipate sequential gross margin improvements in the fourth quarter, and that our effective tax rate for the year will be between 19% and 20%. This guidance also includes the continuing impact of inefficiency in our distribution networks associated with supply chain congestion as well as ongoing COVID related operating limitations, particularly in the Asia Pacific region. For the fiscal year 2022, we expect total capital expenditures to be between 300 million and 325 million as we continue to invest in our strategic priorities. In the face of innumerable challenges, we are encouraged by the strong consumer demand for our comfort technology products, which delivered double digit growth in nearly every country and across all distribution channels. This is a testament to our brand, our people and our products. Our long term growth strategy remains intact, and we believe will demonstrate the resilience of our business model for these challenging times. We are steadfast in our focus on delivering innovative, stylish, comfortable products at attractive price points to consumers around the world. With that I will now turn the call over to David for closing remarks. 
David Weinberg: Thank you, John. Three quarters of record growth during a period of continued macroeconomic challenges is a clear indication of the ongoing relevance of Skechers, the desire for quality and comfort by consumers and the determination of our entire organization to meet the needs and demands of our customers. While we look ahead to our goal of 10 billion in annual sales by 2026 we remain focused on the here and now delivering fresh product as quickly as possible, creating awareness of the innovations and features in each collection and increasing the opportunities to shop or brands be it at our expanded network of direct to consumer locations, including a retail base of approximately 4,450 locations or through visible spaces within third party stores. We are honored to receive our third company of the Year Award for Footwear News in our 30th year of business. The excitement of our first year has grown over three decades and resonates throughout our talented and dedicated team. We’re looking forward to continuing our growth momentum as a more experienced organization and a brand known around the world for its unique portfolio of comfort collections. We recognize the volatility and dynamic situation we are presently in but we believe in the strength of our brands and the long term position of Skechers. Now, I’d like to turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jay Sole with UBS. Please proceed.
Jay Sole: My question is about gross margin. John, you called out some of the drivers. I think you mentioned freight logistics, foreign exchange mix ISPs. But can you give us an idea of sort of like the magnitude of each of those? And really what I’m trying to get at is how much of those were really one time in nature that you expect to get back in a year or two? And also within SG&A you mentioned logistics costs were also in SG&A. I think you call that 50 million? Do you consider that like a sort of a onetime expense as well? And how should we think about that going forward? Thank you.
John Vandemore: Hi Jay. On gross margin, I mean, really far and away, the cost driver has been really for the full year. freight and logistics is by far the most significant driver. We were able to offset some of that with pricing. As we’ve mentioned before, we’re still catching up a bit on price increases in our wholesale segment. And that was a very strong segment for us this quarter. So that catch up is still underway. We do expect it to fully materialize over the course of Q4 and Q1 but we still didn’t have enough pricing to offset the freight and logistics in the fourth quarter. And then there was some mix. Our distributor business was very-very strong in the quarter, which is a great thing to see from those markets. But as you know, the distributor business has a dilutive gross margin, a very good operating margin but a dilutive gross margin. So we did suffer a bit from mixed effects there. In regards to the incremental 50 million we quantified, I think most of that long term is going to go away as efficiency works its way back into the system but as we mentioned, and we have mentioned for a while now we’re experiencing severe congestion from supply chain issues and that’s giving rise to the need to spend in order to make sure we’re preserving as best we can our customer delivery went down and working our way through that inventory. So it will linger as long as those issues linger, though we do expect they will begin to become less prominent as we move through Q4 in the early part of 2023. The only caution I give is this is clearly a ramification from COVID effect on the supply chain which we noted in our prepared comments has been both extreme and extremely volatile. And so some of this is going to be subject to where the supply chain normalizes out and when that happens. The one note I would give you, though, on the plus side, and I think David mentioned in his remarks we are starting to see some favorable trends on freight rates, container rates, that will work its way into the P&L over time, because we’re still, we still have the inventory that we imported under the higher rate structures, but in terms of green shoots in the supply chain, that’s one of the more encouraging ones we’ve seen.
David Weinberg: Yes Jay, in addition part of the issue with the distribution centers, is we were expanding them at a time where it was difficult to get parts, and we would have been completed a lot earlier and not have to run the duplicate costs, both in the U.S. and places like Panama, if we were to get equipment earlier, and had them brought a tail up to speed earlier. We continue to work on both of them. And as we move into one structure, and get the learning curve under our belt and back into the facilities complete, we should level out significantly given the existing volume. Obviously, if volume continues, as they can with us to grow at outsize volume, we may have to play more catch up in the future in some markets.
Jay Sole: If I can just follow up with one more just on the inventory? Can you give us a little bit of an idea of maybe where it’s located? Is it in China? Is it in the U.S.? Is it in transit? And are you comfortable with the level in the sense that you think you’ll be able to sell most of it at full price? And maybe when do you think the inventory growth rate will get back in line with the sales growth rate?
John Vandemore: In terms of the growth, we experienced this quarter, two notable observations, almost none of it was in the Asia-Pacific region, which is obviously, as we mentioned remains under some COVID duress. So it was probably predominantly in the U.S. and to a lesser degree in Europe. We do feel very good about the inventory. As we noted, it’s all arrived within the last couple of months. And so it is good inventory that we fully expect to be able to sell through at regular prices. We don’t have any real concerns about that. We have seen a material shift out of in transit into on hand. But that’s part of the issue we’re talking about here is you saw throughput improved dramatically and you saw transit times improved dramatically. And that just brought a lot of product on shore at a rate that’s far more significant than we’ve historically observed. So that also was a contributing factor to the congestion we mentioned.
David Weinberg: Yes Jay you should notice, I think, just want to point out from my own perspective that what happened during the pandemic, and the closed down is that we moved out our buying process by a few months from what would normally be somewhere in the neighborhood of 4, 4.5 months to like 6, 6.5 even out to 7 months trying to get everything in on time with the congestion at the ports and the issues we were having with our factories that all came in at one time. So it’s not under normal circumstances, we would have been at a more normal inventory rate and rate of growth. But as John said, they are relatively new. They all just got here. They’re all predominantly spoken for given the flows we’ve seen as we slow down buying on the tail end until we catch up to the process. So we’ve now taken our supply chain and moved it back a few months and we’ve absorbed all the inventory. So we’ll be shipping out a hand and now that we’ve expanded our facility and I’ve taken in it should be easier for us to process and I will tell the one caveat with that, obviously is how good does the man stay over the next few months and the way we started October gives me personally a lot of confidence in the fact that we’ll move it out on a very regular basis.
Operator: Our next question is from Laurent Vasilescu with BNP Paribas. Please proceed. 
Laurent Vasilescu: Good afternoon. Thank you very much for taking my question, John, David. I’d love to ask about FY ‘23 EPS guidance. If I look at the midpoints today versus the midpoint 90 days ago, looks like you lowered it by about $0.25, John for you to kind of give us the bridge on that, like how much of it is incremental from FX from the congestion charges and maybe even China just so we can understand the magnitude of the type.
John Vandemore: I will shy away from giving you a penny by penny walkthrough. But let me give you the big factors in order of size and scale. First it’s going to be the freight logistics. We’ve planned for, we believe in adequate amount of that. So that’s working its way into the guide. Secondarily, China has not recovered at the pace we had originally expected. Unfortunately, that market continues to be challenged by COVID. We’re looking for some early signs that things are starting to recover. But I believe as long as lock downs and other restrictions and operations are in place, it’s going to inhibit China from fully recovering. And then FX, FX is another headwind. But those are the three most significant factors we’re dealing with.
Laurent Vasilescu: Thank you for that, John. And then I know you’re not prepared to talk about 2023. But I don’t know if you can give us some color on just the wholesale order book for spring 2023 like, how do we think about it domestic versus international? And then one that surprised me was the AFPs both on wholesale and DTC were up around 1%? I don’t know if it was due to increased markdowns, but how do we think about AFPs in the order book versus cost going forward for maybe spring 2023. And again, I know you’re not guiding for 2023. But just the color, there would be super helpful. Thank you.
John Vandemore : Yes, I would say relative to 2023 so far I am encouraged by what we see. There is certainly some nervousness in the marketplace, which we’ve spoken about, I think it’s also important to keep in mind, domestically, Q1 of this year, which will be our comp in Q1 domestically next year is a really high bar. I would say many of our conversations with our partners are very encouraging. As David noted, demand from our direct to consumer business remains very encouraging. So as I sit here today, I’m actually optimistic that ‘23 will certainly at the very least be less bad than everybody’s talking about. And we see some very encouraging signs across the landscape. There are also some big unknowns, though I think, again, the Asia-Pacific region is going to be a big unknown for us, given how COVID has continued to have an effect on that marketplace, but overall I would consider our view to be cautiously optimistic, and getting more optimistic as we continue to see demand at the consumer level fairly robust for Skechers. On AFPs, you need to be very careful there, because we do have a significant number of foreign exchange mixes in there. I don’t have the number right in front of me, but hundreds of basis points better would have been the ASP increase for it, not for FX. So as you know we’ve some of our key markets were also those most significantly impacted by negative foreign currency movements, and with nearly 60% of our sales from outside the United States, that FX impact is going to be felt throughout our key metrics and ASPs are certainly one area, otherwise, on a constant currency basis, we actually felt pretty good about AFP performance. Although again, we’re still playing a little bit of catch up on the wholesale side which we expect to get behind after the fourth quarter.
Operator: Our next question is from Alex Straton with Morgan Stanley. Please proceed. 
Alex Straton: Great. Thanks so much for taking my question. I wanted to focus on the top line for so. Can you guys just talk to us about the sales deceleration you have embedded in the fourth quarter guidance? If we’re not getting it, right, it looks like it’s going down to like a 9% three year CAGR or underlying growth rate. And that compares to the first quarter through the third at like a low teens number. We’re just having trouble reconciling that against what sounds like super strong demand. So is that just all [indiscernible] or how should we think about that?
John Vandemore: The most significant factor is certainly FX. I think year-on-year we are [indiscernible] losing nearly 100 million of top line revenue on FX some of that we had previously anticipated, some of that we have not. We are cautiously evaluating where every market stands relative to kind of the macro economic climate. Probably the few big swing factors in there for us are where does FX go from here? How does China evolve over the course of the quarter? And how much volatility is in that market because of COVID? One of the other markets that obviously, for us has historically been very key, but had some of its own challenges this past quarter was Chile, a very good market, a very robust market for us normally undergoing some political and macroeconomic headwinds. So that was a challenge. And then in all honesty we’re cautious about how the supply chain performs. And so we’ve probably baked in a little bit more than average conservatism there. That being said I’d say, if you look back at this quarter, it’s also hard to replicate the growth that we put up in the face of all the exigencies we faced this quarter. And in all honesty, it could have been even better than that we’re not for some of the challenges we felt on supply chain. So we feel really, really good about where demand is, and that’s why we’ve said as long as demand stays where it at we feel incredibly optimistic about our 2026 objective of 10 million and more.
David Weinberg: Yes. I would also point out that the quarter will likely change in this dynamic somewhat. We always have a very big back half of Q4, which is anticipation of spring, which is a lot of spring product and develop, deliver some in the U.S. and significantly more overseas as they transition. Given the extent that a lot of wholesale customers are backed up now in their own DCs, I do feel that they will take some more in the first quarter than the fourth quarter because they won’t be able to transition into their new season quite as quickly as in the past, just given their own inventory holdings. So should that dynamic change, it could also change some of the dynamics in the fourth quarter.
Operator: Our next question is from Gabriella Carbone with Deutsche Bank. Please proceed. 
Gabriella Carbone: Hi, good afternoon. Thanks for taking our question. Just curious if you can maybe just dig in on the health of the U.S. consumer a little more? What you’re seeing now and maybe verse a few months ago? I mean, you’re obviously experiencing very good demand and any changes to know and consumer spending behavior?
John Vandemore: The only thing I know, honestly, Gabi is what we’ve mentioned for really the last couple of months, which is that the data does not reveal, to us at least, a significant slowdown in consumers’ willingness to spend on the Skechers brand. We felt like this quarter was potentially prone to some risks on the consumer side and none of that materialized in fact I would characterize our outperformance on the domestic direct to consumer side in particular, as really, really strong, particularly in e-commerce, but really across the board.  And then as David mentioned early signals from Q4 are also very positive. So I would say we’re continuing to see strength across at least our brand and within the gender profiles of our brand, and really haven’t detected any meaningful change, which is to say things continue to remain very encouraging.
Gabriella Carbone: Thank you for that. And there’s just a quick follow up sounds like you really aren’t seeing any pressure from the increasing promotional environment. Is that a fair statement?
John Vandemore: Well, absolutely never really worked well in business. Because it’s never absolutely the case, one way or the other. We’re certainly seeing more promotions in the environment, and we’re not going to sit idly by while others promote and be off price significantly but I wouldn’t characterize it as a significant level of proportionality. So we are offering promotions in a targeted way. We’ll deploy them when we feel it’s appropriate. But what we have seen is that has also been accompanying very strong demand at the consumer level. So, it’s been effective. And it isn’t by any extent from our perspective, at least at this stage extreme or beyond what I would consider to be average.
Operator: Our next question is from James Duffy with Stifel. Please proceed. 
James Duffy: Thank you. Hi, David. Hi, John. You mentioned, you’re working to alleviate supply chain congestion in North America. Despite those challenges, your wholesale revenue very strong. What’s the state of general inventories? Are they lower than you’d like them to be just given those challenges? As you work through throughput issues is there’s more channel fill opportunity? Or is the congestion simply just adding logistics costs and channel inventories are in a good place and you’re hoping to relieve some of those additional costs?
John Vandemore: Well, James I’ll give you my perspective, and I’m sure David will share his. I think if you look at wholesale channel inventories right now, and this is, it’s never the same for every single partner, but they generally look pretty stable. You look back relative to 2019 they’re very close to those levels. So there’s no extreme buildup, or drawdown that we’re seeing. We are seeing supply chain challenges all the way through the system. So it’s not simply in our own distribution. We’re also seeing it downstream. And so we know that many of our partners are similarly dealing with some congestion issues. We’d like them to have more. And in fact if you step back and look at Q3, Q3, without congestion, we would have certainly been able to deliver an even more significant domestic wholesale growth. But we also want them to be healthy, and we don’t want inventory to start backing up. And today, that’s certainly not what we’ve seen. We continue to see good sell throughs. We’re doing everything we can to make sure we’re shipping on time, and in full. And that’s what gave rise to some of the costs that we talked about. But we also need to be cognizant of the fact that our partners need to be able to ingest that inventory.
David Weinberg: Yes. I think that’s true. I don’t, we don’t talk in terms of anybody with having too little inventory. Certainly, in our industry, I think, to our benefit, and what we feel good about is that when space is made available, whether it’s by a promotional cadence or sales in general, as things open up, we are one of the first calls to deliver the next inventory because our stuff does so well at wholesale and for their own retail. So I think we’re checking well, which gives us an opening to any openings for inventory and open to buys and open to ship which is just as important nowadays. So I think keeping in high demand is a key for us. So we have the inventory. We’ve taken an early two. So we’ll be available to all our customers. And as they sell down we’re certainly moving it very quickly to them. So we could actually pick up the pace, should sales continue to be strong through the fourth quarter.
James Duffy: Got it. Then John. the incremental 50 million of expense you identified for the third quarter, if I understand you correctly, that in addition to the higher transaction rates on a year-to-year year.
John Vandemore: Unfortunately, yes. That’s purely dealing with on an inventories once product has landed.
James Duffy: And any thoughts on what that figure might be for the fourth quarter? I’m trying to put my arms around what is a potential recapture opportunity is hopefully someday soon we get back to a more normalized environment?
John Vandemore: Well, I tell you, we are certainly making that our priority. But it’s also important to make sure that we’re delivering to customers, and we’re honoring our commitments to give them the product that they need to sell through to survive. So we’re trying to balance those two. I don’t want to give specifics, but I would say we certainly expect a lesser impact in Q4 than we had in Q3 because so far we view Q3 is kind of the epitome of the congestion issues, but it’s still going to be a material impact. And as I noted, in response to Laurent’s comment, it’s certainly one of the factors that’s our change and guidance, because we want to make sure we’ve adequately incorporated that into our expected results. But I assure you we’re going to do everything we can to minimize that while honoring our commitments to customers to get them the goods they need, particularly in this holiday season.
Operator: [Operator Instructions] Our next question is from Omar Saad with Evercore ISI. Please proceed.
Omar Saad: Good afternoon. Thanks for taking my question. Most of them been answered. I was hoping though you could dive in on the strong PQC trends, maybe separate out e-commerce stores what you’re seeing there? Is that kind of uniform to across markets? And then I have one follow up. Thanks
John Vandemore: Yes, I would say not uniform across markets. We definitely saw outsize growth on the digital side of things. But again as you’ve heard us say before we think those are very tightly integrated at the consumer level. It’s also not a fair comparison because, as David noted this year, we are in the process of lighting up markets with an online direct to consumer offering that we’ve never had before. So in many markets, it’s an unfair comparison. What I would say is, it’s apparent to us that the Skechers brand remains in demand at the consumer level. We’re seeing that in stores. We’re seeing that really across store formats, which is something we haven’t seen in a while, which is very encouraging. And we’re seeing it in nearly every market. Again, the one drawback on the direct to consumer side of things would have been in China which is just facing some difficult conditions as we noted at one point, we had nearly 10% of our stores shuttered because of COVID. So that market is simply struggling to cope with the dynamics of COVID. But overall we definitely were pleased with what we saw in store, online in the communion between those two, and it continues in the early part of this period to show similar trends which we’re excited to see.
Omar Saad: Could you actually elaborate on that comment you just made about putting into a product that you’ve never had before into the PQC, maybe a little bit more what you’re talking about there? 
John Vandemore: It’s not product, it’s actually lighting up sights that we haven’t had before. So just if you look to last year, in the same quarter we did not have sites in Belgium, France, Italy, the Netherlands, Poland, Spain, Spain we had one but Switzerland. So again, we’ve been on this roadmap of launching our direct consumer online offering. And so we’re getting to a direct to consumer online relationship with many consumers in these markets that we’ve never had the ability to perform it before. And that’s very encouraging.
Omar Saad: And then quickly, John, any product trends or category shifts to call out as the kind of return to come out of COVID and lock down kind of lifestyle? Are you seeing any shifts in your business certain parts of the certain categories that were outperforming and underperforming?
John Vandemore: No shifts, really. But I see that with an incredibly encouraging backdrop in that we’ve seen comfort and casual continue to resonate strongly. We think consumers are very much appreciating our focus on those two domains. In particular, it evidences itself in the uptake they have for our new technologies, when we put them into the marketplace where they they’ve received very strong demand. I’d say the only notable change versus the last couple of years in the third quarter was really saw kids come back in a more meaningful way than we had seen in the previous couple of years because COVID obviously played with school and school attendance. We saw a much more traditional curvature of demand on the kid side that is associated with back to school. And that was refreshing. That was good to see because it clearly is an indication to us that there’s some normalcy returning to the retail cadence of things which is in our view good.
Operator: Our next question is from Tom Nikic with Wedbush Securities. Please proceed. 
Tom Nikic: Guys, thanks for taking my question. I was hoping can you give us a little bit more color around Q4, like gross margin versus SG&A? I mean, it kind of seems like to get to get to your guidance given where the revenues are going to be. It seems like either gross margin has to get a lot better or the year-over-year growth rate for OpEx needs to slow pretty dramatically. I know you said I think sequential improvement in gross margins but like, is there any more color you could give us they’re like gross margins up year-over-year down year-over-year a little bit like, I guess any help there would be helpful. Thanks.
John Vandemore: Sure, I’ll note that Tom, there’s no reason we couldn’t achieve both. But I would say in terms of the plan that we’ve given you our goal for the entirety of this year has been to catch up on the gross margin side. And our objective is certainly to do that this quarter. Now, we may not make it 100%. Or we may get close, maybe a little bit better than that. But I would guide toward a gross margin that’s very close to or on top of prior year. That’s been the objective of the pricing that we installed previous in the year, and how we’ve gone about pricing in our direct consumer channel as well. And so that’s probably the one improvement that is key to understanding our guidance. We have, as we said, incorporated some excess costs from supply chain, similar to this quarter to incorporate what we know about how the supply chain is expected to behave. We’ll have to see how things evolved to determine whether or not that’s too much or too little. But right now, we think we’ve been appropriately conservative in incorporating those costs into our expectations for Q4.
Tom Nikic: And if I can just ask one more question on China? Obviously, that’s been a tough market. And it sounds like one of, or maybe two of your really big competitors are still struggling there. And talking about really challenging market conditions. I mean, I guess just kind of like, how do you sort of see the recovery in China progressing? Like, I mean, do we think like, your China businesses up next year, or like, just any help around China would be great?
John Vandemore: Well let me say first about this year, I mean, I still think Skechers is performing better than almost any other Western brand in that market. The decline we spoke about in Q3, it’s important to note that that has a very heavy influence from FX. You almost take 600 basis points out of that just on FX alone. So if you looked at on a constant currency basis, the market I think they held up really well. If you take a deeper slice of that e-com was nearly flat, and that’s one of the most significant channels was there. So that was great. Obviously stores not being open inhibits their ability to sell and transact. Consumers not being able to be in malls and out shopping severely inhibits our ability to convert there. And that was the drag in the quarter. we’re cautiously optimistic that Q4 will be better. And Q1 will be better after that. It’s certainly a longer recovery path than we had originally expected. But I see no reason why next year can put us right back into the track we’ve been on in China, which is a fairly sizable growth path. Now, that’s all subject to what happens with COVID and political environments being what they are. So you have to take that with a fairly heavy caveat. But in terms of the base business, demand for the brand, the product resonance we feel really good about all those things we can control. And I think our team there is doing as good a job as anyone and navigating that. And that’s why at least in terms of the Western brands we feel like we continue to outperform. We certainly haven’t seen some of the more drastic impacts that others spoke about very recently. And we’re encouraged by that.
Operator: Our next question is from John Kernan with Cowen & Co. Please proceed. 
John Kernan: Good afternoon. Thanks for taking my question. John, $1.8 billion in inventory on the balance sheet at the end of Q3 it’s up about $800 million from where it was in 2009. I think 2019 I think sales are up about 500 million from a somewhat same quarter. When do we think inventory dollar trends come down more in line with sales trends? Is that the first half of next year? When does inventory peak on the balance sheet?
John Vandemore: Well, I mean, it’s difficult to say. I think it’s important to keep in mind that a portion of that inventory build is purely cost based right you can’t incur the type of freight escalation and logistics escalation we’ve had over the last year without it impacting your on hand balances because it just flows through that way. I would say if we think about it from a unit perspective, which is a more modest growth than what we saw on the dollar side of it we do expect things to begin ticking down. Now some of that’s going to be contingent upon how the supply chain unfolds. Because again, this is not a situation where inventory backed up because of a lack of demand. That’s definitely not the situation we’re in. And so really has to do with logistics and timings, all the things that we’ve had a very tough time predicting well over the last couple of years. So again, we’d prefer it to be lower than it is, we would prefer to have put less than working capital over the last year than we have. But by the same token, we want to make sure we have the product available to meet consumer needs. And I would expect it to get better or to be those two relationships come better into line over the course of this year. But in terms of the exact timing that’s too contingent upon how the supply chain performs, for me to give you an educated guess.
John Kernan: Sure. And certainly the whole sector seems to be in a similar position. I guess you brought up the point that a lot of it, the increase is cost based? How does this affects gross margin as this comes off the balance sheet and onto the income statement into Q4 and in the first half of next year?
John Vandemore: Well, I mean, it’s already in the effects we’ve been seeing on the gross margin side of things. Again the inventory turns over relatively quickly in the context of our overall sales performance. So we think it’s incorporated into both the costing that is underpinning our guidance, but also the pricing actions we’ve already taken to offset that we expect to materialize in the quarter. So again, I think we’re going to be dealing with this inventory costed at this level for at least another quarter and a half. But our expectation is, both in terms of what we’re seeing on freight and logistics rates coming down as well, as selling through the inventory that we have that it’ll remedy itself over time. The counterpoint, I just mentioned against that, because we’ve often said, we’re not looking for a windfall on gross margins. We’re looking to make sure we protect our gross margin. So while we’ll try to capture as much of that as we can if promotionality comes back, or there’s changes on the pricing horizon we’ll have to be flexible about that going forward, because it’s important to keep in mind that we’ve got to be true to our goal of being a good price for the value we offer, and that’s going to be important.
Operator: Our next question is from Samuel Poser with Williams Trading. Please proceed. 
Samuel Poser: Good evening, thanks for taking my questions. I want to just go back to the G&A please. And with 600 million in G&A in the quarter 603. Is that really? I mean, is that sort of a top kind of number? I mean, or is this the number that could go to it was up 100 million from last year? Is that a number that could be up 75? we can be looking at 65 in Q4, or is this something where like that 600, maybe a little bit higher? is sort of, kind of think about it, sort of more absolute terms.
John Vandemore: I think the first thing I noticed within that 600, you mentioned is these supply chain costs that we’ve mentioned that 50 million we quantified? So we definitely don’t view that as ordinary course G&A. The second is, we don’t really think about it in dollar terms, because that doesn’t equate with how that G&A performs, particularly the volume oriented. What I would point out is believe it or not, even with that 50 million of excess costs in there, G&A as a percentage of sales actually levered year-over-year. And that’s how we tend to think about. There is a piece of G&A that is stable. It reflects just the natural operations of the business, the corporate environment, design, development, etc. But then there’s also a piece that is very volume influenced. And then in this quarter, as we mentioned, there was that 50 million that was in excess of what we would have normally expected. So I think if you kind of use those parameters, you’d understand that it shouldn’t be in line with the sales performance, but also in this quarter that relative measure that sales G&A as a percentage of sales was aggravated by that 50 million.
Samuel Poser: And then I got two more One, what is your optimum forward weeks of supply? Back pre COVID running around average like 15. Right now you’re running around over 20. And so I’m not really thinking about it a year-over-year basis. I’m more thinking about it if it’s settling down. And then that leads me to the last part of my question regarding timing of orders, timing of your orders, and its Sandy in December, will you be taking orders for like, eight way back to that four and four and half month window there? Or are you taking it farther out and then allowing some of it to flow through from what’s already here and what’s still coming, I guess, based on when you took orders recently, for spring?
John Vandemore: Sam, I think those both run together. We’re going to be more reactive as we and as reactive as we convey to them as to what happens in the supply chain. If we could get back to four months with the confidence that we’ll be here on time, so we can deliver on time, we will certainly push towards that direction as we get through the end of the year. Right now there’s some different issues as far as the supply chain is concerned, even though container costs are coming down, they’re coming down, because the demand for space has come down so dramatically that sailings have been canceled moved around. And it does increase to what we feel a comfort factor would be for time and transit. So to the extent we get more back to normal, we’ll be going more hand to mouth so that we can calculate the type of on hand inventory and the terms that you were talking about before. If we can get a real solid handle on the transit times.
Samuel Poser: And then with your backed up, I mean, with the congestion at the DC and getting the expansion to the U.S. DC and the other DC is up and going. I mean, is this something we really should be thinking about that, like these incremental costs are going to continue through the first quarter of next year? And that’s when they should if they’re going to ease up, that’s when we should think about the earliest they’re really going to start easing, because given the way everything’s happening right now, and the timing of getting everything you have sort of internally up and running.
John Vandemore: Well, I’m more an optimist and a hopeful person than John, he’s more a numbers guy. So I will tell you my perspective is that they start to come down. The question is the rate they start to come down. The way I think about it is when things started to open up, as far as the port was concerned, we started to receive inventory from the port at a rate more than double of our peak at any time, since those places were open. Going through all that and having received all that inventory. And I hope inventory is very close to a peak here. But even if it’s not at a peak, which I believe it is, it’s the flow through. So in other words, we won’t be receiving, giving our buying patterns no matter what unless a significant extreme change in the supply chain comes in and we won’t be receiving inventory at that rate. So that’s one expense that goes away and looking for additional space and trying to move it out and just unload all those containers for somewhat efficiencies. And we’ve already got those under our belt. So if anything, we will not be looking for more space, we will not be expanding. We will get rid of the excess cost of the new part of the distribution center which is not a storage facility for the most part. But it’s an operational facility. So while we’re training on it and getting up and going, we have duplicate costs. So hopefully by the end of the year, early part of next year, a significant piece of those costs go away. So if you think about not paying overtime, not trying to work all of seven days a week to receive all those shoes and shipped the maximum amount we can, I do believe we’re coming into a more efficient use of the distribution center. And that would include here, in the U.S. and parts of South America where we’re expanding, assuming we can get all the equipment and there’s still some final touches, both in South America and here in the U.S. that are waiting for our builders and our installers to get final pieces to get it done. So we can move this along. Under normal circumstances we would have done in the U.S. last December of January. A big piece of that was they were running late because of the supply chain. Their own supply chain and their own personnel issues, to bring stuff into the installed and then we stalled back because we had all that stuff to receive and try to get out the door and hire a significant amount of people. People weren’t as available. So right now, we don’t feel we need any more. And certainly not a significant amount of people. We will be reducing overtime. We won’t be receiving that much. So I think we’re getting to a much more steady stream of product and it should start to flow to the G&A as we move through this year and into next quarter.
Operator: Our final question is from Rick Patel with Raymond James. Please proceed. 
Rick Patel: Thank you and good afternoon, everyone. Can you tell about the underlying trends in Europe? It seems performance there was really strong in the third quarter on better product availability versus last year. But just given some of the macro headlines that we’ve been seeing across Europe and the UK, in particular, I’m curious if you’re seeing any changes in the way that wholesale accounts or consumers are behaving in Europe versus what you were seeing about three months ago?
John Vandemore: Obviously, it’s up. We had a great quarter. So that’s what we saw. And nothing has changed in October. And nothing has changed anecdotally with our meetings with some of our larger accounts as to what their needs are and how we’re selling through, and how they feel about their order backlog. So while we as everybody else, read the headlines and see what’s going on in some of them for our particular case, and the particular product offerings we have there and the stuff we’re delivering, we continue through current time in October, as we did both through last quarter.
David Weinberg: Yes, I would just add to that, Rick, I mean, keep in mind as well, that the numbers we spoke about in kind of our EMEA and Europe region, were also severely impacted by foreign currency. So they were significantly better even then, as reported on a constant currency basis. So I think we continue to see good trends for our brand in Europe. There is obviously a lot of concern in that market over the macroeconomic environment. But so far, we have yet to see that meaningfully materialize in our business either on the wholesale side or on the direct to consumer side when taken as a whole.
Operator: And this does conclude our question and answer session and this concludes our conference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.